Operator: Good morning, and welcome to the Second Quarter of 2025 Pilgrim's Pride Earnings Conference Call and Webcast. [Operator Instructions] At the company's request, this call is being recorded. Please note that the slides referenced during today's call are available for download from the Investors section of the company's website at www.pilgrims.com. I would now like to turn the conference call over to Andrew Rojeski, Head of Strategy, Investor Relations and Sustainability for Pilgrim's Pride. Please go ahead.
Andrew Rojeski: Good morning, and thank you for joining us today as we review our operating and financial results for the second quarter ended on June 29, 2025. Yesterday afternoon, we issued a press release providing an overview of our financial performance for the quarter, including a reconciliation of any non-GAAP measures we may discuss. A copy of the release is available on our website at ir.pilgrims.com, along with slides for reference. These items also have been filed as Form 8-Ks and are available online at sec.gov. Fabio Sandri, President and Chief Executive Officer; and Matt Galvanoni, Chief Financial Officer, will present on today's call. Before we begin our prepared remarks, I would like to remind everyone of our safe harbor disclaimer. Today's call may contain certain forward-looking statements that represent our outlook and current expectations as of the day of this release. Other additional factors not anticipated by management may cause actual results to differ materially from those projected in these forward-looking statements. Further information concerning these factors have been provided in yesterday's press release, our Form 10-K and our regular filings with the SEC. I would now like to turn the call over to Fabio Sandri.
Fabio Sandri: Thank you, Andy. Good morning, everyone, and thank you for joining us today. For the second quarter of 2025, we reported net revenues of $4.8 billion, a 4.3% increase over the same quarter last year. Our adjusted EBITDA was $687 million, up 4.7% versus Q2 of 2024. Our adjusted EBITDA margin was 14.4%, in line with last year. Our performance reflects our commitment to our values, disciplined execution of our strategies and extensive application of our management metrics. In the U.S., our diversified Fresh portfolio across segments benefited from favorable commodity cutout values, continued affordability of chicken compared to other proteins, strong key customer demand and sustained progress in operational excellence. Diversification efforts through Prepared accelerated as our branded offerings continue to drive growth across retail and foodservice. Our Europe business drove margin expansion through realization of cost efficiencies in manufacturing and optimization of product mix. Sales to key customers rose faster than channel averages and our branded offerings in Fridge Raiders and rollover continue to grow, further diversifying our portfolio. Mexico drove strong results given attractive fundamentals in the commodity market, extensive growth with key customers and continued momentum of branded offerings in Fresh and Prepared. Given the strong demand, along with our vision of becoming the best and most respected, we are pleased to announce the initial wave of investments to further unlock our growth potential. We have also announced a special dividend of approximately $500 million. As a result, we can continue to create a better future for our team members, bolster our competitive advantages and further unlock value for our shareholders. Turning to supply in the U.S. The USDA indicated ready-to-cook production for the U.S. chicken that grew 1.9% compared to the second quarter of 2024 from increased headcount and higher-than-average lightweights. Despite an increase in egg sets with a more productive layer flock, chick placements continue to be challenged as hatchability remained at historical low levels and hatch utilization continued at record rates. As such, production growth was driven by increased lightweights and improved livability during the later half of the quarter, expanding production by the 1.9%. Considering the most recent sets and placements data, the USDA estimates growth of 1.5% in 2025, suggesting sufficient supply to meet strong chicken demand experienced in recent quarters. As for overall protein availability, the USDA anticipates 1.3% for 2025 growth as increased chicken and pork production offset significant declines in beef production. As for demand, the cost of eating out continues to increase more rapidly than eating at home. As such, retail propel further growth for chicken. In Fresh, both tenders and wings gained traction, whereas boneless skinless breast continued to grow given continued record spreads against ground beef. Momentum for boneless ties continue as it grew faster than all cuts compared to prior year. Similar to Fresh, both the deli and frozen departments also added demand at a sustainable rate. Frozen fully cooked led chicken growth across all of retail, primarily through increased velocity, whereas deli benefited from increased distribution and demand for wings. In foodservice, the increase in the cost of eating out impacted restaurant traffic, especially for full-service restaurants. However, chicken demand grew as operators strategically lean into value offerings, limited type production, promotions and menu revisions to either trigger or maintain momentum. Value-added chicken-focused QSRs continue to leverage the affordability of chicken, outperforming the broader dining sector and capturing traffic and share. In exports, broiler volume continues to lag previous years. Nonetheless, pricing remained resilient as domestic demand for dark meat continues to be healthy. Given the relatively minimal outbreaks of high path avian influenza, many of our trading partners continue to ease or remove trading restrictions on several major poultry producing states, increasing the access. While opportunities arise from trade restriction from the outbreak of high path AI in Brazil, the overall impact was muted as export markets quickly adjusted to different policies and restrictions across countries. Our trading partners continue to navigate tariffs. To date, there have been no significant disruptions other than China. We anticipate potential benefits to U.S. chicken when a trade agreement is reached between these countries. Turning to feed. Corn pricing moved lower throughout the quarter as U.S. saw a large rebound in planted acreage. As a result, the USDA forecasted a record high in U.S. corn production, along with the rebuild in domestic stocks. When combined with increased production from Brazil, USDA expects global corn stocks to be relatively flat year-on-year. Soybean meal pricing also moved lower as record South American production drove a sharp rise in global soybean stocks. When combined with increased soybean processing capacity for biofuels worldwide, meal prices have become further depressed. In wheat, global stocks, including China, are expecting a slight rebuild this crop year as production was close to or above initial expectations in all major northern hemispheres. In the U.K. alone, output increased by 12% compared to prior year. As a result, increased production is expected to offset slightly lower beginning stocks. Since ample supply exists and is more readily available at the point of origin, risks related to physical supply of wheat have been reduced. Throughout the remainder of the year, grain and oilseed markets will take direction based on U.S. weather and its impact on corn and soy crop yields, along with any possible disruptions related to ongoing trade negotiations. In the U.S., consumers continue to seek value in their eating occasions. As such, the relative affordability, availability and flexibility of chicken compared to the other proteins continue to resonate across both retail and foodservice channels. Given the environment, Case Ready experienced strong demand as consumers increasingly migrated towards retail to stretch their budgets. This trend was amplified by record spreads between boneless, skinless breast and ground beef pricing. Nonetheless, our differentiated portfolio continued to gain traction as our sales to key customers grew significantly higher than industry averages. The performance of our branded Just Bare or Fresh offering was particularly strong as net sales rose nearly 20% compared to prior year. In Small Bird, overall margins remained strong as our business benefited from extensive demand from key customers in QSR. In Deli, wind velocity improved, but we experienced some reduction in the growth of rotisserie birds, impacting prices to a lower level than 2024, but still close to the historical 5-year average. We are working in new innovation to help growth with our key customers on this category. In Big Bird, jumbo cutout values remained favorable despite volatility in the quarter. During the first 2 months, value were second highest on record. After a rapid decline in June, values returned to normalized levels consistent with the 5-year averages. Nevertheless, our team remained focused on operational excellence as yields and labor efficiency both improved. Given our progress and constructive market conditions, profitability increased significantly compared to prior year. Prepared continued to realize significant growth as net sales increased by 20% compared to last year. In Retail, Just Bare recently achieved over 10% market share given incremental distribution and category-leading velocity. Pilgrim's momentum also continues to build as trial and velocity increased throughout the quarter. Both brands continue to receive industry recognition for innovation and consumer preference. Just Bare achieved the #1 ranking in Circana's 2024 Product Pa Fetters list, whereas Pilgrim's received the People Magazine's 2025 Food Award for Best Chicken Nugget for our Cheesy Jalapeno offering. Prepared Foods also continues to drive profitable growth through incremental distribution, portfolio expansion and branded offerings in Pilgrim's and Gold Kist brands. As such, sales grew over 25% compared to last year. More importantly, substantial opportunities remain with leading distributors, selected QSRs and schools. Commerce also continues to be a growth driver as digitally enabled sales rose over 26% compared to last year through continued expansion and efficiency of media investments with leading retailers, food service providers and various online platforms. Turning to Europe. The environment improved as consumer sentiment grew as wage outpaced inflation. Within retail, overall demand remained steady across the proteins with poultry and chilled meals experienced the highest growth, while land and pork were the most challenged. Given this environment, our team continued to drive profitable growth through our strategies. As such, we are strengthening key customer relationships through incremental distribution and new product development, generating sales growth that outpaced the overall grocery channel. Our diversification through key brands in retail also continues to progress. Rollover grew over 10% compared to last year from additional distribution and new offerings. Fridge Raiders also continued its marketplace momentum as net sales growth surpassed the category average. Innovation remains a key pillar to drive growth. During the quarter, our higher attribute differentiated chicken offerings developed for a key customer was recognized as the best new poultry product by food management today. We continue to cultivate our new product pipeline. As such, we expanded our rollover portfolio into chicken, created additional eating occasions for Fridge Raiders through packaging and working in close collaboration with the key customers to create a series of premium new ethic meal offerings. These items and several others are slated for launch in Q3 and will be supported by investment in media and promotion to foster growth. Foodservice remained challenging as total visits fell compared to prior year. We additionally secured awards from our customers, increasing our sales in the channel by 10% versus last year. Moving forward, we will look to further cultivate our presence with food operators within the pubs and bars category. Our integration of corporate support activities and optimization of our manufacturing network are nearing completion. Based on these efforts, we have improved production efficiencies and created a more agile key customer-focused organization. Given our enhanced foundation, we will look to accelerate opportunities to drive profitable growth. Mexico experienced another strong quarter as commodity fundamentals in the live and retail market remain attractive given seasonality, reduced availability of imports and volume growth. In Fresh, key customer relationships strengthened as net sales increased double digits, driven by the foodservice rotisserie channel. Our retail Fresh branded portfolio also continues to drive diversification and sales have increased over 6% compared to last year, led by Just Bare, which is over -- up 2.5x. Our diversification efforts through value-added has experienced similar success as Prepared continue to grow. In retail, Pilgrim's brand increased double digits compared to last year. Growth in the foodservice was driven by QSRs, which were up nearly 10% versus prior year. During our Investor Day in March, we highlighted a variety of products to reinforce our strategies and enhance our competitive advantage. As part of this, we announced an investment of $400 million last week to build a new fully cooked Prepared food plant in Walker County, Georgia. Given this investment, we can further capitalize on long-term growth trends for chicken in retail and foodservice. Prepared is a large category with an estimated size of $14 billion. An attractive growth profile also exists as net sales have grown annually by 6% since 2019. Furthermore, consumer interest appears to be accelerating as sales have risen by 7% between the first half of 2024 and 2025. During the same period, our net sales have grown 21%. Momentum for our retail brands has also been remarkably strong. Over the past 5 years, household penetration has increased from 2.4% to 10%. Similar momentum exists in foodservice for our brands as Gold Kist volume has risen 15% annually since 2021. When our growth prospects are combined with strong consumer enthusiasm for our brands, we have a remarkable opportunity to accelerate the expansion of our Prepared Foods business. This investment will further diversify our portfolio, reduce reliance on outside suppliers and leverage our Fresh production capabilities. As a result, we can drive growth, enhance margins and reduce volatility across our entire U.S. business. In the meantime, we will expand fully cooked production in our existing prepared facilities at Moorefield and Waco. Given these investments, we will still expect to have sufficient capacity to meet our growing demand across retail and foodservice. Within retail, over 1/3 of Fresh chicken is sold as antibiotic-free or organic chicken. Given extensive consumer interest, our Case Ready business has become the leading provider of this higher attributed differentiated offerings. To further strengthen our competitive advantage and reinforce our leadership position, we have announced the conversion of a Big Bird plant to support key customer growth to an NAE and veg-fed program in the Case Ready segment. We remain committed to diversification across bird sizes and our ability to capture market upside in the big bird commodity market. As such, we reviewed our manufacturing footprint and identified opportunities to enhance our mix and unlock additional capacity to meet our growth in demand in that segment. Based on this effort, we can maintain our current portfolio across all bird sizes, further increasing our upside potential while limiting downside risk. Equally important, we can generate higher, more consistent margins in the low to mid-double digits for our U.S. Fresh business. In Mexico, our capacity expansion efforts also continue. Our projects in Veracruz and Merida remain on schedule, and we still anticipate each will become operational in the first half of 2026. Similarly, our prepare expansion continued to proceed as planned, and initial production is slated for the beginning of 2026. Given this work, we can continue to drive sales growth and reduce volatility of results. When all these projects are at full capacity, we increase our -- the size of our business in Mexico by 20%. We remain committed to the other key projects and potential strategic acquisitions as discussed during our Investor Day. As such, we will continue to evaluate various alternatives and provide updates when available. With that, I would like to ask our CFO, Matt Galvanoni, to discuss our financial results.
Matthew R. Galvanoni: Thank you, Fabio. Good morning, everyone. For the second quarter of 2025, net revenues were $4.76 billion versus $4.56 billion a year ago, with adjusted EBITDA of $686.9 million and a margin of 14.4% compared to $656.9 million and a 14.4% margin as well in Q2 last year. Adjusted EBITDA margins in Q2 were 17.1% in the U.S. compared to 16.7% a year ago. For our Europe business, adjusted EBITDA margins came in at 8.2% for Q2 compared to 7.4% last year. In Mexico, adjusted EBITDA margin in Q2 was 16.3% versus 19.4% a year ago. U.S. net revenues were $2.82 billion versus $2.66 billion a year ago, a nearly 6% increase. Adjusted EBITDA in the U.S. for Q2 came in at $482.7 million compared to $444.6 million a year ago. Strength in the commodity chicken markets, along with moderate grain input costs and continued operational improvements drove strong year-over-year profitability improvement in our big bird business. Our Case Ready and Prepared Foods businesses have continued their momentum with increased distribution with key customers. Case Ready profitability improved year-over-year. However, even with increased sales volumes, higher commodity chicken input cost was a headwind to Prepared Foods profitability. Small Bird's performance in QSRs remained very strong, offsetting a more challenging pricing environment in deli walks. In our U.S. GAAP results, we did incur legal settlement expenses of $58 million in the quarter, primarily due to reaching settlements with certain parties associated with the ongoing boilers litigation. In Europe, adjusted EBITDA in Q2 was $111.8 million versus $96.2 million last year. The business has benefited from its continued structural reorganization, including integration of support functions and manufacturing optimization programs, while cultivating key customer partnerships with continued innovative offerings. As we begin to wind down our reorganization efforts, restructuring charges trended lower to $3.5 million during the quarter. Mexico generated $92.3 million in adjusted EBITDA in Q2 compared to $115.1 million last year. The Mexican business continued to demonstrate strength with adjusted EBITDA margins greater than 16%, even though facing year-over-year FX headwinds of 13% and bird disease challenges during the quarter. SG&A costs in the quarter were lower year-over-year, primarily due to a decrease in the previously mentioned legal settlement costs. Also in the quarter, we incurred marketing investment costs and additional incentive compensation expense based on the progress of our year-to-date results. Our effective tax rate for the quarter was 25.1%. We continue to anticipate that the full year effective tax rate will approximate 25%. We have a strong balance sheet, and we continue to emphasize cash flows from operating activities, management of working capital and disciplined investment in high-return projects. During Q2, we reduced our gross leverage by $90 million through open market purchases of our own debt. Even with the payment of the $1.5 billion special dividend in April, our net debt totaled less than $2.3 billion with a leverage ratio of less than 1x our last 12 months adjusted EBITDA at the end of the quarter. Following the April dividend payment and debt repurchases during the period, we had over $1.9 billion in total cash and available credit at the end of the quarter. We have no short-term immediate cash requirements with our bonds maturing between 2031 and 2034 and our U.S. credit facility does not expire until 2028. With the strength of our liquidity position, the Pilgrim's Board yesterday declared a special dividend of $2.10 per share or approximately $500 million. The record date for the dividend will be August 20, 2025, with a payment date of September 3, 2025. When adjusting for this dividend, our net leverage ratio would be 1.15x adjusted EBITDA, still well below our target of between 2 to 3x. Net interest expense for the quarter totaled $31.5 million. With the announcement of the upcoming dividend, we anticipate our full year net interest expense to be between $115 million and $125 million this year. As discussed at Investor Day in March and demonstrated by our announcement last week of our new U.S. Prepared Foods plant in Walker County, Georgia, we will continue to invest in growth. We are very excited to move forward in Georgia. And with this project, it will create over 630 jobs and will expand our branded Prepared Foods capacity beginning in the first half of 2027. Upon reaching full capacity at this new plant, we estimate that U.S. Prepared Foods business will increase its net sales by over 40% from its current levels. We spent $161 million of CapEx in the second quarter, an increase of $63 million from the first quarter. In the U.S., we made progress towards the conversion of our Russellville plant to support a retail key customer in the first quarter of 2026. Also in Mexico, our investments in Fresh and Prepared continue to progress and remain on schedule. Once these projects finalize and are at full utilization, we estimate the Mexican business will increase its net sales by approximately 20% from its current levels. These projects in Prepared Foods, Case Ready and Mexico taken together require approximately $650 million of incremental growth capital. We will continue to ramp up capital spending throughout this year to support these various projects. However, we anticipate total CapEx spending in 2025 to be slightly less than our original estimate of $750 million, likely closer to $650 million to $700 million. These near-term growth projects align to our overall strategies of portfolio diversification, focus on key customers, operational excellence and our commitment to team member health and safety. Operator, this concludes our prepared remarks. Please open the call for questions.
 Operator: [Operator Instructions] The first question comes from Ben Theurer from Barclays.
Benjamin M. Theurer: Congrats on another very strong quarter. So first one, actually just following up on some of your closing comments right now, Matt, in terms of like the CapEx outlay and so on. So just wanted to clarify, the investment in Georgia that you've announced last week. So how should we think about the spend of the $400 million? You said it's going to ramp up somewhat in the second half and then probably going to go hiring in 2027. So the bulk of it, I guess, will be in 2026 CapEx. But just to understand a little bit the cadence of those $400 million and associated to this investment, is that using chicken that you already produce? Or does it include additional chicken slaughter capacity just on that one? And then I have a quick follow-up question.
Matthew R. Galvanoni: Sure. Thanks, Ben. I think when you think about that $400 million that we announced last week, I think this year kind of in that $50 million to $70 million range next year, sort of that $250 million to $300 million with residual in 2027. It's always -- timing can fluctuate a little bit. The vast majority of the spend will be in 2026 because we anticipate this becoming up and running in the first half of 2027. So I'd give you that as my kind of basics. And then I don't know, Fabio, you want to talk about the chicken side of it?
Fabio Sandri: Yes. Ben, thank you for the question. As we mentioned, we want to improve our portfolio by increasing our presence in the Prepared Foods and branded arena. And I think this plant is in time for us to support us in the growth of our Just Bare brand. The Just Bare brand is a differentiated brand. It is no antibiotics ever minimally processed. And as we mentioned, it has experienced phenomenal growth. And since it us no antibiotics ever meat, and we are the largest producer of no antibiotics ever meat in the United States, it will be normal for us to support these prepared foods with our internal production. But of course, in all of our prepared foods, we operate as an independent business. We have independent P&Ls. We actually have independent P&Ls by client, but the prepared food business is operated as an independent business, and it can source meat from any supplier as long as it is in line with our superior quality standards.
Benjamin M. Theurer: Okay. Got it. And then, I mean, just in general, you've highlighted in your prepared remarks that some of the production data is -- I mean, liability is getting better. We're seeing more supply. It seems like that particularly the big bird weight, the birds with big bird, the big birds are gaining a lot of share. So obviously, there's another boost to the supply side here. So if you look at the supply versus demand situation and maybe putting that beef shortage aside for a moment, are we getting to the point that there is coming too much supply on because now all these exits as of a sudden do turn into chick placements plus we have that weight gain, and we're getting a little bit of an oversupply situation here or just not yet because of the demand for chicken being so strong?
Fabio Sandri: Yes. I think that's a great point, Ben. I think when you go and step back and look at the expectations for supply of chicken in Q3, I think we continue to see the same structure as we saw last year and this year. So we have a lower layer flock, but it's more productive because it's younger. So we're seeing more egg sets. And we've been seeing this throughout 2024 and 2025. But we're still with the hatchability issue and 2025 has actually been lower than 2024. We always have an improvement because of seasonality and the weather pattern, and we have an improved hatchability, but so as we have last year, but we're still below the 2024 levels that were already record low. So because of that, even with an increase in the egg sets, the chick placement has not followed. But as you mentioned, we always have also an improvement in livability in this period of the year because once again, of the weather, which translated to close to 1% increase in headcounts. I think because of the profitability of the segments, we are seeing an increase, especially in the big bird segment. And that increase in that segment accounted for 1% in increase in live weight. So that's why we saw a 2% increase -- close to 2% increase in the overall availability of meat for the domestic market. If you look at the demand and you look at what's happening in both retail that is gaining market share because of the living increases in inflation and the concerns of the consumers about spending, retail was increasing by 2.4%. And on the foodservice, despite the reduction in the traffic, we're seeing chicken gaining market share and increasing menu penetration to the accounts that we increased the sales of chicken in the foodservice by 2.7%. So when you look at that increase in demand and as you mentioned, all the challenges in pricing and availability of the other proteins, I think the expectation increase of USDA of close to 1.5% for the year is in line with the demand. And I think that's been what we've seen lately on the prices of boneless breast meat.
Operator: The next question comes from Andrew Strelzik from BMO Capital.
Andrew Strelzik: I wanted to ask another U.S. chicken supply chain question. We've seen pullets placed are down year-over-year 3 of the last 4 months, and that comes on the heels of what was an extended period of pretty consistent increases. So is there something changing there? Or what is driving the reversal? Maybe you can kind of talk through what the dynamics are at play there? And more broadly, can you give us an update on the industry production constraints and where the industry stands with those now versus maybe a year ago or so?
Fabio Sandri: Yes. Thank you, Andrew. Yes, like I mentioned, on the on the structure of the industry. And you're right on pullet placements. I think what the industry is trying to have is a more productive flock. I think the hatchability issue has been very impactful. If you look at the hatcher utilization, we had the highest level ever. And I think we're probably past the capacity. I think all the hatcheries are operating more days than they should, reducing a little bit of maintenance. So if you have eggs that will not hatch or a lower productive layer, you're in trouble because you're compromising the bottleneck, which is the hatchery. So that's why the industry is trying to get a more productive and younger layer flock. And it's all from there in terms of the capacity of the industry to increase production. And I think what the industry is trying is to gain production through the live weights. And I think that is what creating this higher growth on the big bird segment. It is our industry way of trying to expand production without being able to expand the number of heads that we are producing. And I think on the -- overall, it's also matching with the demand for chicken. When you look at by segment as well, we're seeing the bone-in category being more challenged in growth than the big bird category. I think we always mentioned about the versatility of chicken, both in retail and foodservice is not only the center of the plate, but it's also as an ingredient. And I think the big bird breast meat is a perfect match to as an ingredient. At the same time, we're also seeing more deboning of the dark meat. I think we've been talking for this for many years about the change in demographics and the change in tasting in the domestic market, U.S. market. We used to be in the past, white meat-only market exporting the leg quarters. But over the last 5 to 10 years, we saw a significant growth in the dark meat consumption. Today, at retail, boneless ties are at the same price as boneless breast. So you can see that there is a strong demand for the boneless ties in the retail. And that is helping the big bird category as well as we are being able to debone the leg quarters and gaining a better value than exporting leg quarters.
Andrew Strelzik: Okay. That's super helpful. And then switching gears to Europe. I'm curious how you're thinking about the margin progression from here. You had been expecting a slower pace of year-over-year margin expansion, and we did see that this quarter. But sequentially, it was only up very slightly. And so I guess, what caused that slower pace of sequential margin improvement? And are you expecting to see that reaccelerate over the rest of the year sequentially to get to kind of a steady year-over-year improvement? I know I'm mixing sequential and year-over-year, but I'm trying to get a sense for how to think about the improvement in EU margins from here over the back half of the year.
Fabio Sandri: Yes. We always have a little bit more seasonality in Europe. And typically, the second semester is better with Q4 being much stronger than the first semester. What happened in Europe is that we saw the consumer sentiment improved a little, but it's still at a lower level. And we saw the growth at grocery really limited in this quarter. There was a significant increase in the cost of living in Europe because of the increase in the national security cost for companies. And that impacted a little bit the -- both the consumer sentiment and the demand. But nonetheless, we saw chicken continue to be the fastest-growing category in there. We saw a little bit of reduced demand in the lamb and pork categories, which are more expensive than chicken. But going forward, we continue to see the improvement of our operations with the consolidation of our back office and our operational network. And we are continuing to see more innovation. And I think that's the most important point for Europe. We will continue to innovate to help our key customers to grow faster than category averages. But to your point, there is always a seasonality in Europe and Q2 typically is superior or better than the first semester with Q4 being the strongest of all.
Operator: The next question comes from Pooran Sharma from Stephens.
Pooran Sharma: And congrats the quarter. I appreciate the question here. Just wanted to first start out and sorry to belabor the point on eggs set here. But you mentioned earlier on that we're maxed out in egg sets. And just looking at the data, there was a pretty big jump from the start of 2024 to 2025. I think we went from like $240 million a week to about $250 million a week. So I just wanted to get a sense of how much more growth do you think we can see in egg sets without seeing any major investment in any sort of hatchery capacity?
Fabio Sandri: Yes. I think you're absolutely right. It is going to be really hard for us to get any more egg sets -- or chicks placed, right, if we don't have investments in hatchery capacity. And as I mentioned, what the industry is trying to have is a younger layer flock that is also more productive but have better hatchability. Because to my point, if the bottleneck in our industry is the hatch, we were not being able to capture all the demand upside that we are seeing with production. When you look into the numbers in Q3, we are seeing expected from USDA close to 1.9% as well together with what we have as of today. So I think we'll be pretty much in balance in terms of supply and demand. But you're right, the issue for us continue. I think we always have this question when we have the hatchability back, right? And I think what we are seeing year-over-year, it is that the hatchability has not improved, there is some seasonality. So we always see some improvement during the summertime. And I think it continues to be the challenge that we have dealing with this new breed. And as we mentioned, until a new breed comes, and we haven't seen any evidence of a new breed coming, this is the best breed in terms of performance, in terms of feed conversion and in terms of yields. So there is actually no intention on our industry to go back to older breeds that are less productive just to get a better hatch. So I think we will continue to be struggling with this. We're learning how to manage better, especially the male. It is once again an animal that gains weight and then managing the live part is very difficult. But I think we'll get some improvements and we'll get hatchability, a little improvements here and there over time, which will allow our industry to get in line with the strong demand that we are seeing.
Pooran Sharma: Appreciate the color there. Just as a follow-up and on that -- the egg set and just the supply. I think fall to winter time is when you typically see seasonal production cuts by the industry. But in your comments earlier, when you talked about USDA being up -- their estimates being up 1.5%, that being an adequate level of demand. I was wondering if you think that the industry will need to see deeper production cuts than they enacted last year? Or do you think production cuts will be at a similar pace to what we saw last year? Would love to get your thoughts around the seasonal production cuts.
Fabio Sandri: Yes. I think it's the normal seasonality for our industry, right, to have seasonal cuts for the Q4. As we know, there is the Thanksgiving, which is -- and Christmas, which we see a lot of demand for turkey, for hands, for other types of meat. And we see a decrease in the promotional activity of chicken, which will lead to lower demand as expected. I think it's the normal seasonality year-over-year. And there is the normal seasonal cuts from our industry. We will always match our production to the demand of our key customers. And as we saw the numbers and we discussed with them what are their promotional activity, we will support those plans as we do every year. I think during Q3 and Q4, we are also seeing that will be even higher challenges on beef and pork. I think we're expecting or yesterday is expecting a sharp reduction in the production of beef for Q4. And there has been some issues with the live operation of pork where we're seeing the PED virus impacting some of the operations. There is a discussion about weights and heads in the pork. But we're seeing that Q4 in terms of availability of total meat for the United States will be close to 1%, which is one of the lowest numbers we've seen, which tends to benefit the demand for chicken. But as I mentioned, it is normal to see a reduction in the demand for chicken during Q4.
Operator: The next question comes from Guilherme Palhares with Santander.
Guilherme Palhares: Just a quick one. You reported a 5% growth in COGS in the U.S. with a 1% growth in volumes, right? So if you could go through a bit of the main drivers here. And going forward, looking at all the discussions that we're having about visas and the situation of labor in the U.S., what could you expect going forward in terms of wage inflation on the sector and if you're seeing some of that already or not?
Fabio Sandri: Yes. I think that's something that we've been looking closely, right, on the labor market in the United States. Our strategy has been to follow, of course, all the policies from United States. We saw some humanitarian visits being revocated in the United States, especially for Nicaragua, Venezuela, Cuba, Haiti. We have some employees with those visas and because of the revocation, we will need to -- we had changed from those team members. Our strategy has been to overstaff our plants during Q2 to prepare for those potential impacts in the labor market, and that's how we've been operating. In Q2, despite one of the best turnovers we ever had, I think we always have a policy of being competitive in the marketplace. We are inserted. We have a process where we look plant by plant and region by region, and we are competitive with wages in those regions. We've been able to fully staff our plants. Actually, during Q2 to prepare for those actions by the government, we were overstaffing our plants. So we run as a number at 105% staff. We control the staffing in every single plant. We have great methods to staff perfectly to the mix that we are running. And during Q2, we were 105% staffed, especially to prepare for those impacts. So far, we've been able to fully staff our plants, like I mentioned, we are running the best mix that we can, and that's what we saw in the performance during this quarter. Yes. As far as going into the future on labor inflation, I think what the numbers we are seeing for the entire United States is that, that has not been a significant issue. Of course, we will need to wait and see how the economy continues to go. We are seeing some reduction in labor in the foodservice arena, and we've been benefiting from that. Like I mentioned, we are very competitive where we have our plants.
Operator: The next question comes from Heather Jones from Heather Jones Research.
Heather Lynn Jones: I wanted to go back to the Waco plant and how you all are going to be supplying that. And it looks like the majority of your slaughter plants that are located around that area are small bird, but then there's some larger ones, I guess, in Alabama. So I guess my question is, are you planning on converting maybe some small bird capacity, particularly given the demand dynamics in that segment? Are you planning on converting some capacity? Or would you pull it from plants that are further away? Just hoping -- wonder if you could give us more insight on that.
Fabio Sandri: Yes. I think we're always looking into the portfolio, right, Heather, what is the segment that is growing, what is the segment that is more challenging. As I mentioned, I think the bone-in category has been the one that has been challenged over the last period of time. We are the leader in that category. You have great key customers. We saw some of these key customers in the food service arena growing much faster than the category averages. So we're seeing a great profitability in those plants. Nonetheless, we see that the market that is growing is more for us, the Case Ready and the big bird segments. And as always, we will adjust our portfolio to what we look and not only the right now impact, but also looking going forward. I think when we look at where we are growing, we are growing in retail ahead of the category in the Fresh more than 5x what the industry grew, we actually improved way ahead of the category average once again, because of the differentiated offerings that we have. So it's not only the region, it is about the offerings that we have. We have the no antibiotic for offerings. We have the veggie-fed offerings. So we have the -- also the organic offerings. So it's more about where you are rather than just the region.
Matthew R. Galvanoni: And I think, Heather, Fabio was mentioning before relative to our Prepared Foods business, they really do look and source from multiple places. They'll source both internally from our own plants, but they also source quite a bit outside of Pilgrim's facilities, too. So it's really making sure that they have the best cost profile. And so sourcing of the plant in Waco County will come from a variety of different places.
Heather Lynn Jones: Okay. But you are -- you said that's going to be NAE and you all are the largest supplier of NAE, the largest producer of NAE in the U.S.
Fabio Sandri: Yes, that is correct.
Heather Lynn Jones: Okay. And for years, you guys had said in the U.S., your target was 1/3, 1/3, 1/3. And clearly, there are some changes going on, pretty big changes. So I was wondering if you could maybe not definitively, but sort of qualitatively give us an updated thoughts on what does that ideal mix look like now for you guys in the U.S.
Fabio Sandri: Yes. I think like I mentioned, we're always looking at what you mentioned in terms of the portfolio, right? And when you look at the market, it is kind of 1/3, 1/3, 1/3 with the big bird growing faster than the other segments. On the small birds, as I mentioned, the challenges on the bone-in category, but we are also seeing the food service for small birds, especially on the QSRs, we talk about the sandwich, Schwartz's, right, for many years. We saw some growth in that category. And that is another thing that we can do, increase a little bit the light weight on the small bird category to support the growth in the food service, both distribution and QSR on the small birds. So we still believe that being a balanced approach it is the right approach. As we mentioned, we are growing faster in retail because of our differentiated offerings and because of our key customers growing faster than the categories, and we will need to convert one big bird plant to a Case Ready plant. But we are finding bottlenecks in all of our big bird plants so we can continue to have this balanced approach without losing our exposure to the commodity markets that we know are very strong right now.
Operator: The next question comes from Peter Galbo from Bank of America.
Peter Thomas Galbo: Question for you on Mexico specifically in the quarter and then as we kind of bridge to the second half. Just want to understand how we should kind of think about the profitability there. It seems like at least in 2Q, FX obviously was a pretty material drag on the revenue side, but you also got a pretty sizable benefit on the cost side. So just now that the currency is going the other way, how we should think about the impact that could have on profitability amongst market dynamics in Mexico for 2H?
Fabio Sandri: Sure. Thank you, Peter. Yes, as we mentioned, Mexico is a volatile market quarter-over-quarter. But year-over-year, when we look, it's pretty stable and it's a double-digit market because it's a growing economy. And as the consumers get more available income, they improve their diets and chicken is the most affordable way of increasing the protein diet. We saw some volatility in the live markets in Mexico during the quarter and I think not only on the demand side, but on the supply side. We saw some increase in diseases during this quarter in the live market. And we have these small operators that will come and go as the live market is strong or weak, which we always mention amplify the volatility in the live market in Mexico because the diseases impacted the companies with a lower, let's say, biosecurity. These small players were impacted. And that created a small reduction in the supply during this quarter, which increased prices in the live market. So the live market was actually the most profitable segment in Mexico during this quarter. Going forward, again, we continue to execute our strategy of growing in Mexico. As I mentioned, we are expanding our Merida production or extending our production to the Peninsula in the Merida. We are expanding our production in Veracruz to support the live markets and the small bird markets. And we're also expanding our Prepared Foods operation in Mexico that is growing double digits to further diversify our portfolio and reduce a little bit the volatility of results in the region. When all those projects are at full speed, we expect our operations in Mexico to be 20% higher than what we have today.
Matthew R. Galvanoni: And Peter, just to complement what Fabio said, just kind of relative to FX, you had mentioned and I had mentioned in my prepared remarks, the 13% kind of headwind that we saw year-over-year in the quarter. When we look at Q3, of course, I cannot predict where the peso will go for the rest of the quarter, but kind of where it sits right now versus where the average was in Q3 of last year, it's basically on par. So we really, at this point, don't see a real big FX impact one way or the other at this very stage for Q3 of 2025.
Fabio Sandri: Yes. And building on the FX, FX also impacted a lot of the grain in Mexico is imported from the United States. So FX was actually a benefit. But on the other hand, there is a big export of meat from the United States to Mexico. 20% of the exports of U.S. are to Mexico. So it's an important market for especially like quarters, but also some boneless breast. And I think with the FX will create the American meat to be a little more expensive in Mexico, which creates the opportunity for our Mexican operations.
Peter Thomas Galbo: Okay. And then maybe just to pivot, obviously, the special dividend now a second quarter in a row, which I think this one was maybe a bit more of a surprise than the last one. Just Fabio, like a change in capital allocation philosophy, like this is pretty abnormal, I guess, to do 2 in 1 year. It's going to be about $2 billion, at least at this point. So I just want to understand if there's been a change in how the Board views capital allocation, how the relationship with the parent company has changed as you contemplate kind of another round of special dividend.
Fabio Sandri: Sure, Peter. No, I don't think that there's been any change. We're always looking to create shareholder value, right? And as we mentioned and as we discussed, in our Investor Day, we have several avenues of growth in our business. So we're always looking for acquisitions, of course. We're looking to grow our Prepared Foods brands and to diversify the geographies where we're in. I think as we're seeing multiples and some of the acquisitions a little bit more difficult, especially in the United States, we engage in organic growth. And that's why we announced the new plant for Prepared Foods, again, to grow and diversify our portfolio, and we are growing in Mexico. And we are looking for opportunities in Europe as well. So I think that avenue of growth will continue. In the meantime, I think the business has been really strong. We're all discussing the results, right? And I think we've been increasing our cash and that position is not efficient for us. Matt mentioned that we are below 1x levered, and we always have the target of being 2x to 3x. And with the expectations that we have for the rest of the year and the strong cash flow generations that we had, once again, we got to a position where our balance sheet is out of where we think is optimal. And we decided to do this special dividend that we will continue to do the special dividends when we believe that our leverage ratio is getting to a place that is not the optimal capital for us. We also have share buybacks, potential share buybacks that we discussed. We have bond purchases that we discussed. And I think we're always looking for all the alternatives to create shareholder value.
Operator: The next question comes from Priya Ohri-Gupta with Barclays.
Priya Joy Ohri-Gupta: Actually, I would love to just follow up on that very last point that you made. With regards to bond repurchases, Matt, you were just commenting and Fabio, you mentioned as well, how sort of underlevered you are versus the target. So could you walk us through sort of why you guys have been utilizing open market bond repurchases, just given that there really isn't any sort of immediate need to reduce your debt balance?
Matthew R. Galvanoni: Priya, it's Matt. I think really, it's just been more opportunistic we disclosed in the 10-Q that the Board, we discussed this towards the end of the first quarter, they just gave us more of an authorization to continue to repurchase as we deem appropriate. I think at the time, we just found that there has been some availability, some -- the market was good, and we would buy when we felt it was the right price and just take it more opportunistically than anything else. Not a huge number of dollars. And we've got authorization to do more, but with the dividend here, a little bit more of a pivot on that one, I think, going forward than what we did here in Q2.
Priya Joy Ohri-Gupta: Okay. That's helpful. And then just on the interest expense guidance, is it fair to assume that the increase relative to what you talked about before is being driven by the lower cash balance? Or is there anything else going on?
Matthew R. Galvanoni: Absolutely correct. It's the lower cash balance. Just we are -- I'll say our gross interest expense is actually coming down a little bit because of the buybacks of the debt that we were just talking about, but the cash balance will be lower and that the assumed interest income will be lower just with that -- with the dividend to be paid here in the beginning of September.
Priya Joy Ohri-Gupta: Okay. And then just one final question on the Mexico CapEx piece, you talked about the $650 million in aggregate. Can you just remind us sort of how to think about the cadence of that year-by-year? Sort of when are we going to hit the $650 million in total and what we should be thinking about for that piece for this year and next year?
Matthew R. Galvanoni: When we're thinking about the $650 million kind of in general, because it's Mexico -- that number really included Mexico, Walker County, the new prepared plant and also our conversion of Russellville that we've been talking about. Where we're at for 2025 is somewhere in that 200-ish, $225 million range, 2026 in the $350 million and then the kind of residual in 2027. But do understand that Mexico and Russellville will be completed here, the dates we were talking about. Russellville will really be finished here in the first quarter of '26 and most of Mexico will be done in the first half of '26. It's the Waco County, which we talk about opening the plant in the first half of '27. Some of that capital will drag, of course, into that.
Operator: This concludes the question-and-answer session. I would like to turn the conference over to Fabio Sandri for any closing comments.
Fabio Sandri: Yes. Thank you, everyone, for attending today's call. In the second quarter of 2025, we achieved strong operational and financial performance. As such, I would like to thank our team members for their continued discipline and ownership of our values, strategies and methods. Given the solid foundation, we can continue to make investments to grow our company, strengthening our competitive advantages, enhancing margins and reducing volatility of results. These efforts must continue with a relentless focus on team member safety and well-being. As a result, we can achieve our vision to be the best and most respected company in our industry, creating a better future for our team members. I look forward to accelerating our efforts during the second half of 2025 and beyond. Thank you, everyone.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.